Operator: Good day, and welcome to the Q1 2015 DHT Holdings Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Eirik Ubøe, Chief Financial Officer. Please go ahead, sir.
Eirik Ubøe: Thank you. Thank you and good morning. Before we get started with today’s call, I would like to make the following remarks. This conference call is also being broadcast on our website at dhtankers.com and a replay of this conference call will be available on the website. In addition, our Form 6-K, evidencing this news release, will be filed with the SEC. As a reminder, this conference call contains forward-looking statements that are governed by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements, which include statements regarding DHT’s prospects, the outlook for tanker market in general, expectations regarding daily charter hire rates and vessel utilization, forecast of world economic activity, oil prices and oil trading patterns, expectations regarding seasonal fluctuations in tanker demand, anticipated levels of newbuilding and scrapping and projected drydock schedules involve risks and uncertainties that are more fully disclosed in our filings made with the SEC. Actual results may differ materially from the expectations reflected in these forward-looking statements. I’m joined today by Svein Moxnes Harfjeld and Trygve Munthe, Co-CEOs of DHT Holdings. Svein?
Svein Moxnes Harfjeld: Thank you, Eirik, and thank you all for attending our earnings call. The EBITDA for the quarter came in at $51 million and net income for the quarter was $23.2 million, equal to $0.25 per share. Our VLCCs operating in the spot market achieved time charter equivalent earnings of $60,300 per day in the first quarter. As of today, we have booked 54% of our spot VLCC days for the second quarter, a time charter equivalent earnings of $52,200 per day. General and administrative expense for the first quarter was $7.4 million, consisting of $5.2 million of cash and $2.2 million in non-cash. The cash G&A is higher than previous guidance mainly because of one-time payments related to staff reduction in Samco, but also because of certain seasonal effects like operating cost being higher in the first quarter of the year. We will pay a dividend of $0.15 per common share for the quarter payable on May 22 for shareholders of record as of May 13. The cash dividend is a threefold increase from previous quarter dividend of $0.05 per common share. The current strong freight market allows us to both return money to shareholders and strengthen our balance sheet further. We have all along communicated our strategy of increasing dividends as a new fund investment phase to the recovery phase. We are delivering on this strategy with the recent dividend increases. As we have seen, for the first quarter, the lion’s share of earnings per share goes back to shareholders. Further strengthening of our balance sheet improves our ability to act in special situations where speed is of essence. It is in the shareholders interest that we have some flexibility in the balance sheet. And we also want to remind everyone that we will receive six newbuilds over the next 18 months that will contribute greatly to earnings per share and thereby dividend capacity. As of March 31, our cash balance was $176.5 million, of which $94.6 million is earmarked for the remaining pre-delivery installments for our newbuildings. And with that, I hand over to Trygve.
Trygve Munthe: Thank you. So, in April, we entered into firm commitments subject to final documentation for the debt financing of the last two of our six newbuilds. The financing equals about 50% of the contract prices with an average margin above LIBOR of about 2.2%. A total of $290 million in bank financing equal to about 50% of the contract prices has now been secured for the six newbuildings with an average margin above LIBOR of about 2.4%. The six newbuildings are now fully funded with previously raised equity and committed debt financings. Further, in April, the company entered into firm commitment subject to final documentation to refinance the Samco Scandinavia built in 2006 with a margin above LIBOR of 2.1875%. And importantly, this is 8.5 year tender on this loan facility. With this, the average repayment profile of our combined bank debt is just over 19 years. As previously reported, during the first quarter, we fixed four of our older ships built between 2001 and 2004 on time charters with duration from 10 months to 24 months. Counterparties are topnotch and the rates are in line with historic averages. So all in all, we think it was a satisfactory quarter for DHT. It marks our first quarter with fully built out commercial department and we are indeed pleased with the results achieved in the freight market. Our 50% owned technical management company, Goodwood, continues to deliver high-quality ship management services at competitive cost. All of our ships enjoyed solid bidding [ph] size and we’ve been able to promptly regain approvals be it after purchase of secondhand in [indiscernible] or after drydockings. We have delivered on our strategy of gradually securing attractive time charter coverage as the market recovers demonstrated by the fixing of the four older units. We have now fully financed our newbuilding program at attractive terms. And speaking of the newbuilds, the first ship will deliver in about six months and then every two months or so thereafter. Under a rate scenario, say, $50,000 per day, we estimate that each of these ships will add some $3.7 million of additional EBITDA per quarter. Under the same rate assumption, these six newbuilds should combined add about $0.15 of quarterly earnings per share based on current number of outstanding shares. And with that, we would like to open up for your questions.
Operator: Thank you. [Operator Instructions] Our first question is from Spiro Dounis from UBS Securities. Please go ahead, sir.
Spiro Dounis: Good morning, gentlemen. Thanks for taking the question. Just wondering if you could comment on asset values. There seems to be some slight disconnect between strong rate environment in assets values and we’ve seen some reports of deals following through. With the significant dividend increase, I imagine you believe the rally is more than temporary, but I guess do you believe that the broader market continues to question the sustainability of stronger tanker rates?
Trygve Munthe: I think to answer your first part of your question on asset values, newbuilding prices are, let’s say, somewhat flattish and maybe a little margin came up over a little blip last year and modern tonnage has also been quite closely connected to newbuilding prices, so 5-year old vessels have been relatively flat. But you have seen some meaningful appreciation in some 10-year and 15-year old assets that of course could immediately enjoy the current spot market earnings. So but we see there is bid/ask gap on the, say, 5-year old, so quite a few million dollars. And so, now, there has been very few transactions in that base package.
Trygve Munthe: Just to add to that, on the newbuilding, sort of putting a lid on how high the secondhand prices can go, we gather that the quality yards in the Far East are experiencing pretty significant demand from obviously same factors again particularly from the container side. So we are not as afraid of sort of the newbuild capacity end market being a damaging factor for assets value appreciation potential.
Svein Moxnes Harfjeld: I think also further to that, if you want to go to a quality yard, say, in South Korea or even worse case in Japan with even long deliver, you are looking at two years off at best to get a quality you need to see on the water. And as such, there is a value appreciation potential now to go in and enjoy earnings on the 5-year old assets. So we will not be surprised to see some move in that space.
Spiro Dounis: Okay, makes sense. Could you also give us a framework for how we should be thinking about uses of cash with the new higher dividend in place now and I guess the potential to deleverage, looks like you’ve got three balloon payments due next year and then another big one in 2017?
Svein Moxnes Harfjeld: It’s correct that we have some balloon payments coming due next year and whilst we think there is potential to refinance even all the units, we definitely want to have the flexibility so we can handle that when they come due.
Trygve Munthe: With this type of clarity, there is only two newbuildings that is due next year. As you noted from our earnings release, we have a refinance to receive the – refinance the Samco Scandinavia, which before this release was due end of 2016. So it’s only the Phoenix and the Eagle that is due to end of the first quarter 2016.
Spiro Dounis: Got it, great. Nice quarter guys. Thank you.
Operator: Our next question is from Mr. Jon Chappell from Evercore ISI. Please go ahead.
Jon Chappell: Thank you. Good afternoon, guys. Want to ask a little bit further on the dividend strategy. I think this was a little bit earlier than we had expected at least given the remaining capital commitments, but now they are all fully financed. As you take delivery of those ships and the capital commitments start to fall by the wayside, do you foresee returning to what the original dividend strategy this company was 10 or so years ago of a full payout model or do you see more just kind of a steady climb in the fixed distribution?
Svein Moxnes Harfjeld: I think the company is very different today to than what it was 10 years ago. It was a very different business model. And when Trygve and I joined the company in 2007, we set out on a plan to change the direction of this company from having been more of a leasing type model to an all dividend – or all earnings payout to now develop a ship-only operating company with a blend of spot market exposure and fixed income. And I think what we are doing now in a way is with the great experience that both board and management in this company represents in this industry and we think we are doing some good analysis and good judgment and are getting to some sound conclusions as to how we want to play this and how we also want to return money to shareholders. We’ve certainly said this all along and we will to the extent that the company is able to do so continue to do that.
Jon Chappell: So just a thought, you think you’d be more of a kind of a steady rise in the fixed value, you wouldn’t see kind of volatility around the quarterly dividend based on what you earn in that particular quarter in the spot market?
Svein Moxnes Harfjeld: I think we’d like to repeat the – no, Jon, I think we would like to repeat what we have stated to you. And, of course, we’d also with the meaningful portion of the company’s assets in the spot market where over time of course earnings can fluctuate. So we need to have good analysis and judgment on these going forward, but again I think the company is demonstrating through this increase in dividend payouts that we are committed to distributing certainly a meaningful portion of earnings to the shareholders of the company.
Jon Chappell: Okay. And then given your previous answer regarding asset values, is it safe to assume that once you take delivery of these six newbuilds, you are kind of more in the cash harvest mode and that the reinvestment mode is probably going to be limited to just kind of unique opportunities that may present themselves?
Svein Moxnes Harfjeld: I think I’ve seen this before emphasising the importance of managing the cycle in our industry. We think we have followed on that strategy by the aggressive growth phase we have been through. We think we are now at least put one-fifth into the recovery phase and in that environment there will be certainly a whole lot less focus on expansion and it is about optimizing what you have and returning monies to shareholders. So that’s playing out pretty much according to plan and I think as I’ve said we are delivering on the plans that we have broadcasted before and we expect to continue to do it that way.
Jon Chappell: Okay. Just two more questions for Eirik regarding model. First on the G&A, it sounds like there was some kind of one-time expenses in 1Q. Do you have a guidance range for both the cash and the non-cash portions going forward?
Eirik Ubøe: I think if you look at the numbers that I’ve been [indiscernible] and what is also one-offs I think you should look to the numbers that we guided on the previous earnings call going forward.
Jon Chappell: Okay. And then finally, and we saw this earlier this week with another company here in the position where the convert shares are no longer anti-dilutive, so the fully diluted share count significantly higher. What was the add back to the fully diluted EPS number, there has to be some I guess interest expense added back and then maybe some even amortization, what was that figure, so we can get to the fully diluted calculation and then also should we just use that fully diluted share count going forward on forecasting fully diluted EPS?
Eirik Ubøe: Yes, the add back was about 2.8 million representing the interest cost for the convert and then the additional shares as you’ve seen is about 18 million.
Jon Chappell: Right. And is that a good number to use for both going forward?
Eirik Ubøe: The first number is a good number using going forward. The share count will change as we pay dividends. The strike price will decline slightly or in line with the dividend. The share count will increase slightly quarter over quarter.
Jon Chappell: Got. Alright. Thanks, Eirik. Thanks, Svein and Trygve.
Trygve Munthe: Sure. Thanks.
Operator: Our next question is coming from Mr. Herman Hildan from Clarksons Platou Securities. Please go ahead.
Herman Hildan: Good afternoon, guys.
Trygve Munthe: Good afternoon.
Herman Hildan: Good afternoon. So I would like to drill down a bit more on the dividend, how we should think about that, you raised the dividends [indiscernible] times in Q4 and three times now in Q1. If the current market continues, is it possible to provide some sort of clarity on how as this you [ph] would expect to see the dividend growth going forward?
Trygve Munthe: The dividend analysis if you like that we are discussing with the board on a quarterly basis is a reflection of our strategy and where we are in the cycle. And as we have stated, we think we are now moving out from the investment phase and into the recovery phase and this is where we are committed to do what we have all along said we are going to do to start to return more monies to shareholders. And it would be still a quarterly analysis and evaluation from the company on that basis.
Herman Hildan: Okay.
Trygve Munthe: Again, we have now have a typical habit since we joined to do what we said we are going to do and that’s what – we have every intention to continue to do.
Herman Hildan: And if you think about Q1 we had, I think $34 million free cash flow to equity, that’s operating cash flow less debt repayments. I mean 7.5% [indiscernible] yield is definitely a good yield, but you could have paid up more than twice as much you decided to do. So from operating cash flow perspective, can you share some thoughts around being why you decided to not to be more aggressive as you’ve seen [indiscernible] on dividend guidance, given that you have already got only equity in each of the remaining CapEx and a solid buffer?
Trygve Munthe: As we mentioned earlier, we think that – everybody that we have flexibility in our balance sheet that we can react to opportunities in whatever shape or form they are presented to us. So that’s why we prefer to not to payout everything and we also have some respect for the – to preserve the quality aspect of the dividend that if there is some kind of a stability around it’s probably more attractive than if it’s fluctuating greatly from quarter to quarter. So if you look at our past history, we have tendered to keep them relatively stable as we move through the cycle. Of course, we have ramped up quite dramatically, especially [indiscernible] multiplier off of the low base that we had in the third quarter last year. But it’s a little bit about really earning the money before you start paying them out as well. So we think that this has been a very meaningful step up. But of course if the market continues as from last it has we will be even better and very importantly, the six newbuildings being faced in here is going to contribute tremendously to earnings per share and thereby also the dividend capacity.
Herman Hildan: Okay. Thanks for that. And just I mean I know you’ve already kind of answered it, but could you also defecate a bit the one-offs in the G&A for the quarter and explain a bit more exactly what it relates to?
Trygve Munthe: On the cash side, we guided on $3.5 million and we ended up with $5.2 million. The clear majority of that delta 1.7 is tied up to severance compensation to people that are on the way out of our organization. And then additionally of course we incurred somewhere audit cost and so forth in the first quarter. We still sort of aim to stay along the lines of $3.5 million or thereabout on the cash basis going forward.
Svein Moxnes Harfjeld: Maybe [indiscernible] Herman on the severance payment. If you might recall when we acquired Samco Shipholdings, it was a condition of that transaction to also take over the existing organization and with the promise to keep that for three years. And this was fairly accretive really [ph] for the selling shareholders that the buyers would commit to that. So this, you need to see this in the light of that.
Herman Hildan: Okay. Thank you very much.
Operator: Our next question is from Mark Suarez from Euro Pacific Capital. Please go ahead.
Mark Suarez: Yeah, good morning, gentlemen. Thanks for taking my questions here. If you look at the current VLCC pricing environment, as you all know it remain strong, we have seen some changes in the [indiscernible] some sort of deceleration vis-à-vis Q1 and I’m thinking how should we think about your employment strategy with regards to the Samco vessels on [indiscernible]. Should we see this as a gradual transition into TC contract [ph] maybe index in at sometime this year or how should we think about that?
Trygve Munthe: Again, referring back to what we have said before that we envisioned securing some more time charter coverage as the market recovers. We now have just under half of the capacity tied up on time charters and we are comfortable with that position. We have acted upon the opportunity when you can secure one or maybe two year charters at rates not too different from 20-year historic average rates and we think that’s meaningful to secure some of that. At this point, we don’t really see us going out to put additional ships away on similar terms, we would like to then see first and foremost longer periods if we were to do more at this point.
Mark Suarez: And would that strategy sort of hold with for the six newbuilds as they get delivered?
Trygve Munthe: [indiscernible] a bit out of favour, but these have very superior fuel efficiency compared to ships in the water today. So we would like ideally to keep those to ourselves and enjoy the efficiency gains for DHT.
Mark Suarez: Okay. And then maybe just turning on to oil storage trends here. I know that we have seen, we talked about this last quarter the [indiscernible] contango structure has actually become a little bit less attractive in April than vis-à-vis March and even Q1 and December of last year. Have you seen any sort of evidence in any sort of deceleration trends for the demand of those vessels for the sole purpose of oil storage or you continue to see the locking in of some of the older assets we also see this into that service?
Svein Moxnes Harfjeld: We think that the contango discussion was a bit overplayed in the market. The strength of the – on the freight market we’ve seen this winter through first quarter continuing into now second quarter. In our opinion, it has a very little if nothing to do, anything to do with contango. We think there is potentially 2%, 2.5% of the fleet tied up in storage anywhere from 3 months to 12 months, but today the contango is not wide enough to justify additional floating storage. So we don’t think that people should put too much into this as a driver in the spot market. The freight market today is really driven by strong demand and longer transportation distances and very limited fleet curve.
Mark Suarez: Okay, got it. That was very helpful. That’s all I have for now guys. Thanks for your time again.
Svein Moxnes Harfjeld: Thank you.
Operator: Our next question is from Erik Stavseth from Arctic Securities.
Erik Stavseth: Hi, guys. Couple of my questions have been asked, but one thing that I wanted to point or get some comment on was, you mentioned that you wanted to keep some cash on the balance sheet for special situations. Are there any special situations in the tanker market now? I mean the vessels you got from Gulf Nav were definitely special situations, are you seeing anything like that today? And secondly, if you are contemplating those kind of situations, which sizes would you prefer to be looking at? There will be Aframax VLCC [ph] to Suezmax.
Svein Moxnes Harfjeld: I think in our industry there are typically always some special situations and then in the private sector, you typically have almost fairly well diversified. And today certain sectors that are not preferring so well and that could of course trigger some activity and wanting to divest tanker assets. We also have people invested in the oil service space that is also having a bit of a rough time. So there is all sorts of reasons for why things can happen. You might also have assets that were acquired and financed say some six, seven, eight years ago at very high levels. And given the asset appreciation that you’ve seen over the past 12 months to 18 months, those assets values are now maybe at or above the bank debt level, and that might also trigger people to want to do something. So there is always something to be done. And so we just think of the component to have, some flexibility on the balance sheet to act on things.
Trygve Munthe: Just like to add to that. It may not only be special distressed acquisition situations. As an example, I think we would have loved to have an ability to act on DHT trading in the fives around Thanksgiving. So there can be all kinds of opportunities out there.
Erik Stavseth: And with respect to the size, any specific preference you have there both given where asset size are today for the different sizes and where you see call it a stronger fundamental market?
Svein Moxnes Harfjeld: I think as we have said before, the primary focus for us would be VLCCs and Suezmaxs.
Erik Stavseth: Okay. Thank you.
Operator: Our next question is from Magnus Fyhr from GMP Securities. Please go ahead.
Magnus Fyhr: Yeah. Good afternoon. Trygve, you raised a good point about the quality of dividends. Looking at current market rates of assuming $45,000 to $50,000 for these, you are paying slightly below full payout of earnings. Is there a point or would you stay below full earnings payout?
Trygve Munthe: I think as we have stated all along, there is not a fixed formula to this. There is a quarterly renovation or analysis of what we think is a good way to return money to shareholders. We are not too sound frankly of fixed formulas. These formulas tend to always have an outward hedge for companies to not to deliver on them. We rather try to put our experience and what we think is a good team both to combining the Board of Directors and Management making a good call on how we should manage this overtime. And I think so far we have delivered on what we’ve said we are going to do and hopefully we can gradually turn on price.
Magnus Fyhr: Okay, but it sounds like you rather R&D the cash before you are paying it out, so I think that’s a good strategy. Thank you.
Trygve Munthe: Thank you.
Operator: Next question is from Mr. Charles Rupinski from Global Hunter. Please go ahead.
Charles Rupinski: Good afternoon and thanks for taking my questions.
Trygve Munthe: Hi.
Charles Rupinski: Hi. Just a couple of questions, basically as far as your fleet deployment strategy going forward you have fixed some more on longer term charters and you discussed wanted to do more of that, is there some sort of, as you look at the market assuming there is a recovery, a sweet spot where you want to be a mixture of spot versus on one or two of your charters and would you consider trying to enter arrangements with like a floor and a profit sharing or some kind of indexing in terms of once you do put on longer term charters?
Trygve Munthe: We are not strangers to some profit sharing schemes and as a matter of fact we have it on the one RHS today and we have also done sort of index related charters, so we are open for those kind of structures that’s not a problem, but on shorter term durations especially on the larger ships, I think it is fair to say that our preferences or focus has been on fixed rate.
Charles Rupinski: By shorter, do you mean like 10 months, sorry, but shorter… okay.
Trygve Munthe: Yeah.
Charles Rupinski: Okay great.
Trygve Munthe: And as far fixed mix between period conversion, spot exposure, we again we think it depends on where you think you are in cycle and for where we are now we are quite pleased with sort of 50/50 that we have in higher market environment I think the buyers would be towards securing more of it.
Charles Rupinski: Okay great. Very good, and other question I had is and you were very, give a lot of detail and color on last call about vessel speeds and what’s going in the marketplace, I mean we had another quarter of very high rates, historically, is there anything that you are seeing or hearing in terms of the market as far as what you think is going on with vessel speeds are, do you think we are in a situation where they are going to remain where they are or has your view changed at all on that door, is there anything we should think about in terms of vessel speed?
Trygve Munthe: No, I think our view as expressed on last quarter call is still intact. In the mean time we have brought in some hard data from Clarkson suggesting that since we went to market [indiscernible] recovering in rates in last fall average fee for VLCC has gone up by 0.8 of a knot. Not exactly tremendous, and then I guess there is also white paper being circulated yesterday on this topic.
Charles Rupinski: Okay
Svein Moxnes Harfjeld: I think as far the freight market is today those 0.8 knots haven’t really done any damage to the spot markets. So…
Charles Rupinski: Okay great. Well thank you for the color.
Trygve Munthe: Sure.
Operator: Our next question is coming from Mr. Samuel Sekine from ALJ Capital. Please go ahead.
Samuel Sekine: Hi guys. I was wondering if you guys can just comment on Q2 now that two months are pretty much over, just kind of where rates are, what you guys have achieve so far?
Trygve Munthe: As you said, we have booked 54% of our spot leases for the second quarter at the time charter equivalent earnings, so $52200 per day. And we think that the balance of the quarter looks rather good, so we are quite confident for the second quarter that they will deliver good earnings for the VLCC shareholders.
Samuel Sekine: Got it and just if maybe you can speak on some of the seasonality and kind of what you guys feel has held the rates up, usually when Q2 is softer?
Trygve Munthe: Historically you are right that Q2 or [indiscernible] to Q2 is typically a softer patch, but general strong demand for Royal and increasing transportation distances combined with close to several fleet growth is just plenty enough to keep the good market running.
Samuel Sekine: And just on charters, if you can maybe comment on what you are seeing out there in terms of length and kind of rates, because I know you talked about you wanted to do longer terms, so maybe have you heard of any charters being locked up on a five-year and just kind of where those rates are today?
Trygve Munthe: I think 5 year time charters are few and far between, so we haven’t really any fresh data points on that. Then I think we can just refer to the ship brokers assessments on where these period markets are.
Svein Moxnes Harfjeld: Also the general comment a 5 year charter is not typically broad market business. Did those clients tend to be a bit selective as to which owners they want to deal with and is not for us really to broadcast those business opportunities on earnings calls and so forth.
Samuel Sekine: And just one last one from me, as you mentioned you said the older vessels are kind of getting your premium or their vessel values have risen more so than new builds. Just how are you guys thinking about potentially selling some of your older vessels, what’s the right value or what levels would you be considering that?
Trygve Munthe: I think it is hard to have a specific value target in mind, but we are cognizant of this upturn perhaps being the last one for our oldest units, so again along with prior communication we would see, look to being less than or sell some of the older units in this recovery.
Samuel Sekine: So, would you say you are more likely to sell on older unit than actually buy an older unit at this point or rates are or values are today?
Trygve Munthe: With the continued recovery in the market, yes that would be the case.
Samuel Sekine: Great thank you.
Operator: [Operator Instructions] We will now take a follow-up question from Mr. Herman Hildan from Clarksons Platou securities, please go ahead.
Herman Hildan: Hi again guys, Trygve you have the comment where you refer to the call it a thankful relation during Thanks Giving and if I read you correctly you are new to the possibility of potentially buying back stocks [ph] that were if happened again, could you remind us again what’s your turn buyback program?
Trygve Munthe: We don’t have a buyback program in place today and quite frankly it’s been partly because we haven’t been in the financial position to go ahead and do that. We have over the past several quarters reached up to complete financing packages for the acquisitions that we have made and we haven’t really felt that we have been in a position to go up and acquire your own stock.
Herman Hildan: Okay. Okay, thank you.
Operator:
. :
Jesper Hansen: Hi good afternoon guys congratulations on a good quarter. Could you give us an update on the price for the convert given the payout of dividend please?
Svein Moxnes Harfjeld: Is it update on the price rate conversion ratio?
Jesper Hansen: Yeah.
Svein Moxnes Harfjeld: Yeah the original conversion price was $8.125 and since then we have paid and declared $0.22 of dividend. So the conversion price will decline by about $0.22. We will after the record date for the first quarter dividend issue a press release and an updated conversion price.
Jesper Hansen: Okay, thank you very much. Secondly, could you shed a little more details on the non-cash G&A for the Q1 please.
Trygve Munthe: Yes, the company has a stock [indiscernible] program in place and run rate of that is being in the range of 1.7 to approximately 2 million per quarter, but in the quarter there was an acceleration of vesting of certain stock in their relation to the parking director from the company.
Jesper Hansen: Okay, thank you. Talking about that departing Director, what has been the conversation between the management and the board on board development strategy given the company is growing in size and currently down to three non-Executive Directors?
Trygve Munthe: I think that discussion is being held at the board on the nominating committee level and we suggest that you address that to the Chairman of the board, who is also the Chairman of the nominating committee.
Jesper Hansen: Okay, thank you.
Operator: Our next question is coming from [indiscernible]. Please go ahead.
Unidentified Analyst: Hi there, just a quick on the – you mentioned the earnings accretion of your additional new build vessels on a fully delivered basis could you please repeat that number?
Trygve Munthe: Yeah we just said with the rate assumption of $5000 per day time charter, each of these ships would add $3.7 million of EBITDA per quarter. On a combined for all six ships on the F-spaces they would add about $0.50 per quarter based on the current outstanding shares, so 92.8 million shares.
Unidentified Analyst: Got it that’s $2.15 of earnings right?
Trygve Munthe: Yes.
Unidentified Analyst: Thank you. And just a quick question on the market, we’ve seen these – either we are talking about how the market is could have been seasonal in Q4 and Q1 of the year, now we are in Q2 and rates are looking good, Q4 should be good as well. So, pretty much you could up the risks the year so far, given that you are already fixed your fleet, how do we think about the year as a whole based on what the market is doing so far?
Trygve Munthe: I think we share your view that 2015 is going to be a strong year in our space. First quarter is behind this. Second quarter is looking strong. Third quarter is too early to say, but typically fourth quarter would be strong again. So, we think it’s going to be far and away the best quarter in quite earliest in the year in quite a while for large tankers.
Unidentified Analyst: And just one question on values, we haven’t seen many prints on the physical outset market and as you said there is a wide bit of spread, we’ve seen some VLCC of 15 year old sold at about $35 million the other day as Olympic [indiscernible], how do you, in your asset values how do you take the latest prints provided by brokers vis-à-vis the current market today. Do you have some sort of …
Trygve Munthe: The transaction you referred to that is a breakout point right, and that is also what the brokers would be using their assessments, if you look two years back ships of 15 years of age probably sold at $22 million. So, it is a significant appreciation in value.
Unidentified Analyst: Okay. Alright thank you.
Trygve Munthe: Thank you.
Operator: There is no further question at this time sir.
Svein Moxnes Harfjeld: Then we would just like to thank everybody for your interest in DHT and have a good day. Thank you.
Operator: That would conclude today’s conference call. Thank you for your participation. Ladies and gentlemen you may now disconnect.